Operator: Greetings, and welcome to the CV Sciences Third Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session from the analyst community will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Brendan Hawkins, Investor Relations. Thank you, sir. You may begin.
Brendan Hawkins: Thank you, and good morning, everyone. With us today with prepared remarks are CV Sciences' Chief Executive Officer, Joseph Dowling; and Joerg Grasser, Chief Financial Officer. After the prepared remarks, we will take questions from the analyst community. I'd like to remind you that during this call, management's prepared remarks may contain forward-looking statements. These forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from those anticipated by CV Sciences at this time. When used in this call, the words anticipate, should, could, estimate, intend, expect, believe, potential, will, project, and similar expressions as they relate to CV Sciences are as such forward-looking statements. Finally, please note that on today's call, management will refer to non-GAAP financial measures in which CV Sciences excludes certain expenses from its GAAP financial results. Please refer to CV Sciences' press release from earlier today for a full reconciliation of its non-GAAP performance measures to the most comparable GAAP financial measures. This morning, the company issued a press release announcing its financial results. Participants who may not have already done so may wish to look at the press release as the company provides a summary of the results on this call. The press release may be found at cvsciences.com. I'd like to now turn the call over to CV Sciences' Chief Executive Officer, Mr. Joseph Dowling. Joe?
Joseph Dowling: Good morning, everyone. Thank you for joining our call. This morning, we issued a press release reporting results for our third quarter ended September 30, 2024. We continue to make progress as we move closer to profitability and generating free cash flow on a sustained basis. Significant financial highlights during Q3 included: we achieved revenue of $3.9 million, consistent with our quarterly revenue total for the last several quarters; we continue to maintain a healthy gross margin, and during Q3, achieved a gross margin of 46%, which compares favorably with prior quarters and with Q3 of 2023; we have maintained our #1 position in the natural product retail channel and have increased our market share in this important B2B channel as well. We launched +PlusHLTH, an all-new line of cannabinoid-free supplements delivering targeted formulations for optimized health, improve performance and increase vitality. Our initial launch of our +PlusHLTH brand includes three new innovative supplements. Our first new product is CLARITY, a cognitive enhancer. Our second is PEACE, for help with occasional stress. And third, RESHAPE, for metabolism support. We are very excited about these new products. We continue to execute on our M&A strategy as well. Our recent acquisition of Elevated Softgels, a Colorado-based softgel and tincture manufacturer, is just one more step in our strategy to increase our capability, scale and profitability. As communicated for the last couple of years, we have actively reviewed numerous inbound and outbound M&A opportunities. We continue looking for opportunities to increase revenue with transactions that can leverage our key assets. One of our primary goals is to achieve greater scale and to do so profitably, which will help us achieve another major goal of positioning the company to list on a major stock exchange. For this to occur, we must have greater scale and be profitable. We are making great progress on this front. Over the last 11 months, we have completed two strategic M&A transactions that are components to increasing revenue and scale profitably. The Cultured Foods acquisition completed in December 2023, continues to make progress in their traditional European marketplace as well as other non-EU markets. We are also making progress in preparing Cultured Foods products for launch in the U.S. market. We have worked on rebranding, packaging and product formulation for the U.S. market and expect to launch the first phase of our new plant-based protein products early in Q1 2025. Our recent acquisition of Elevated Softgels provides us with operational flexibility in serving our brand owner customer base. We are able to produce at lower minimum order quantity production runs, which provides our customers with greater flexibility, increases their speed to market with new product development and allows for more efficient use of capital. This acquisition creates an opportunity to further increase sales to current and new clients of Elevated. We are also beginning the process of in-sourcing production of certain of our key +PlusCBD products, creating potential for significant cost efficiency and further improvement of our gross margin. On the revenue side, our goal is to increase the scale of our company through new product development, organic growth and through our M&A strategy. Brand contraction continues to help us take market share in the B2B channel as retailers continue to remove slow-moving brands. In the natural product retail channel, we are the #1 selling brand and continue to see market share concentration of the top four brands in the 60% range. Our customers are loyal to our brand because they know the quality and value of our products, which is a big reason we are the top-selling brand in the natural product retail channel. Our B2C sales channels continues to improve through targeted advertising, merchandising and marketing efforts to optimize our return on ad spend. We are seeing good results in all critical B2C KPIs, including new visitors, increased subscription orders and average order value. We believe further brand contraction, along with consumer trust in our brand and company, will help grow our B2C channel revenue. We are prepared to grow the channel and take market share as the category evolves. Product development is an important component of our growth strategy, as new product sales generate a significant portion of total revenue each quarter. Consumers are more demanding and not only do they want high-quality products like our +PlusCBD products, but they increasingly want products with formulations and ingredients that address their lifestyle and need states, including for pain, anxiety and sleep disorders. Our product development efforts are addressing this trend, and we have several planned product launches in the first half of 2025 that we believe will provide incremental growth. Our product development efforts also include cannabinoid-free products, which are branded and marketed under our new +PlusHLTH product line. Our initial product offering, which includes our CLARITY, PEACE and RESHAPE products, have been well received by our retailers and customers. Our +PlusHLTH products fill a growing demand for natural supplements that address today's key wellness challenges offering consumers a cannabinoid-free alternative or complement to our best-selling CBD-based product line +PlusCBD. We have several new cannabinoid-free products in development to be marketed under our new +PlusHLTH brand that we expect to launch in the first half of 2025, which we believe will be another source of incremental revenue for the company. All of our +PlusHLTH product development efforts are rooted in rigorous science with clinically proven wellness ingredients. We are very excited about our new +PlusHLTH product line and believe that strong science supports our product claims. We know we are winning the trust and loyalty of our existing and new customers. On the regulatory front, we are actively involved in shaping the regulatory environment at both the federal and state level. We have seen progress in certain states, while other states need further attention. At the federal level, inaction by FDA and Congress is frustrating, but we continue to be actively involved in pushing Congress to make progress on hemp and cannabis regulations. At the state level, we have had some success, but have work to do, including in California. In September 2024, California Governor Gavin Newsom signed an emergency order into law, restricting the sale of hemp products intended for human use that contain detectable amounts of THC or certain other cannabinoids in California. The emergency order will remain in effect until March 25, 2025, unless extended in accordance with applicable law. We have certain products which fall under this category that we have historically sold in California. This emergency order negatively impacted our Q3 revenues. However, we are actively engaged in working with California state legislators to revisit this order and enact sensible legislation that achieves public policy goals and allows for distribution of safe hemp-based products. However, we are not standing still and are mitigating current legislative headwinds with our cannabinoid-free product development efforts and M&A strategy and are confident that we can withstand these legislative setbacks, which we hope are temporary. We strongly believe that over time, a sensible regulatory framework will emerge that will help advance our industry and create an environment where quality companies and products can be trusted to grow the industry in a responsible way. Our industry has challenges, but we are positioning ourselves to compete in the current environment, including through new product development of cannabinoid-free products. We also continue to streamline our operations, increasing our cost efficiency to align the company for growth and profitability. We have made great progress in building a lean, cost-efficient organization that is positioned to leverage our company's strengths and key assets, including our employees, our products, the trust in our brands and the strength of our distribution. Our strong operating platform has allowed us to utilize an M&A strategy to acquire assets that add revenue, increase our scale and provide operational efficiency. Our acquisitions over the last year, including Cultured Foods in December 2023 and Elevated Softgels in Q2 of this year, will add revenue to the top-line and promote cost efficiency as we move toward profitability. We will continue to evaluate inbound and outbound M&A opportunities that support our strategic plan of increasing revenues, cost efficiency and profitability. Let me pause now and I will turn the call over to Joerg.
Joerg Grasser: Thank you, Joe, and also good morning to everyone. During the third quarter 2024, we saw the results of several of our key initiatives which we talked about in previous earnings call. We maintained our top-line revenue at $3.9 million very close to our run rate of $4 million, which we have been trending on over the last several quarters. We essentially maintained our quarterly revenue in a very competitive market where most of our competitors are experiencing significant sales declines. We also continue to see a positive financial impact of our cost efficiency measures, mostly in our gross margin improvement, but also in several other functional areas of the company. Over the last several years, we have significantly reduced our cost structure without significant productivity losses, and we are well positioned for operating leverage as we continue to increase revenue, all with the main goal of creating shareholder value. Our third quarter revenue came in at $3.9 million compared to $4.1 million in the third quarter of 2023 and $4.0 million in the second quarter of 2024. Our unit sales declined by 7.9% in the third quarter of 2024 compared to 2023, and we also saw a slight decrease in average sales prices per unit. Our new product introductions were successful, and our team is doing an effective job on executing on our go-to-market strategy. New products introduced since the beginning of 2022 represented almost 53% of our third quarter 2024 revenue, which shows the importance of new product innovation. The overall CBD market continues to be fragmented and very competitive. We don't see this changing anytime soon, but we see further brand consolidation and brand contraction which are opportunities to further increase our market share and our revenue base. Our direct-to-consumer business continues to perform very well and associated sales represented 42.8% of total revenue in the third quarter of 2024 compared to 40.9% a year earlier and 44% in the second quarter of 2024. On a year-to-date, our B2C revenues for 2024 increased by 2% on a year-over-year basis despite reduced digital marketing spend in 2024. Our team continues to make solid improvements to our main digital KPIs. We were able to grow our B2C sales on a year-over-year basis as a result of improvements to our subscription program and our improved customer list. Our AOV increased and our organic search was up on a year-over-year basis, all good signs for sustainable and continued growth in this channel. Gross margin for the third quarter of 2024 was 46% and continues to trend in the mid- to high-40%s. We recognized gross margin of 45.1% in the third quarter of 2023 and 47.0% in the second quarter of 2024. The improvement in gross margin compared to prior year is mostly due to our product and channel mix, reduced freight and additional cost savings. We continue to work on further cost efficiencies, especially in the area of shipping and fulfillment in order to further improve our gross margins and increase our gross profit. In addition, we expect further cost efficiencies due to the in-sourcing of certain of our SKUs to Elevated Softgels in 2025, as Joe mentioned earlier. SG&A expense for the third quarter was $2.1 million, down from $2.2 million a year ago, representing a decrease of 7%. The decrease in SG&A expense is mostly due to reduced digital marketing expense and a $0.2 million benefit associated with the updated fair value of the Cultured Foods and Elevated Softgels earnouts, partially offset by additional legal and professional fees. For the third quarter 2024, we generated an operating loss of $0.3 million compared to an operating loss of $0.4 million a year ago, mostly due to improved gross margins and reduced operating expenses. Our adjusted EBITDA loss for the third quarter was $75,000, close to breakeven, significantly improved from $0.4 million in the third quarter of 2023. On a GAAP basis, we reported a third quarter 2024 net loss of $0.5 million compared to a net loss of $0.4 million in the third quarter of 2023. Now, let me turn to our balance sheet. We ended the third quarter of 2024 with $1 million of cash compared to $1.3 million at the end of fiscal 2023. In July, we entered into a financing agreement with Streeterville and brought in $0.9 million of additional cash to help us with our growth strategy. During the third quarter 2024, we used cash from operations of $0.1 million. We continue to manage our overall cash position with improved cash collections on our outstanding AR and daily management of our inventory and vendor payables. We continue to adjust our cost structure to be in line with our expected revenue with the overarching goal of generating positive operating cash on a continuous basis. We anticipate some modest cash usage in the very near future until we recognize the synergies of our acquisitions and generate positive cash flow in 2025. Our inventory was $5.0 million at the end of the third quarter compared to $5.7 million at the end of 2023 as we continue to focus on efficient cash management and converting our raw materials into cash. Our raw materials mostly consist of hemp oil, which we previously purchased, and continue to convert into finished products. Our raw material balance has decreased from the end of 2023. We have working capital of $0.6 million. We consolidated the results of Cultured Foods and Elevated Softgels into our financials, and we anticipate to realize the associated synergies of these two acquisitions in 2025. With our improved balance sheet, and our reduced cost structure in place, we have the financial flexibility to continue executing our growth plan and look forward to improving trends going forward. Now, I will turn the call back over to Joe.
Joseph Dowling: Joerg, thank you. As Joerg and I have discussed this morning, we continue to align our company to the scale of the industry to achieve profitability and positive cash flow. Investors are looking for leaders like CV Sciences to consolidate the industry so that a healthier category can evolve where financial fundamentals such as profitability and free cash flow can be achieved. We continue to make tough decisions to ensure that we are scaled properly, operating efficiently and are focused on adding long-term shareholder value. We believe that our M&A strategy, including the acquisition of Cultured Foods and Elevated Softgels, are examples of long-term shareholder value potential. With Cultured Foods, we are thrilled to be preparing for a Q1 2025 launch of our U.S.-focused product line of plant-based protein products. Our products for the U.S. food market are innovative, taste great and will be affordably priced. We are convinced that our consumers will love these products as a true alternative to traditional animal-based products. Over the next couple of months, we will have more definitive news on the timing of this exciting launch. The global vegan food market is growing rapidly and expected to grow 5 times by 2030 with millennials and flexitarians as the driving force behind soaring vegan food sales. With our Elevated Softgels acquisition completed in May 2024, we are excited to help grow the revenues of this business and to selectively in-source production of certain +PlusCBD products. We will continue to participate in the contraction and consolidation of both the cannabis and hemp industries and will evaluate both inbound and outbound M&A opportunities that have strategic value and helped scale our company profitably. As I mentioned last quarter, we retained the Maxim Group as our advisor to provide strategic financial and investment banking services. With the help of Maxim, we will continue to evaluate inbound/outbound transactions, merger, sale, acquisition or other options for the company. In fact, we are making significant progress on new acquisition opportunities and are hopeful that we will have an announcement on these efforts very soon. We are excited about the long-term opportunity for our companies as a competitive force in the health and wellness industry. We are making focused strategic decisions to promote long-term shareholder value. We have the loyalty and trust of our customers and retail partners who love our products. Our company is comprised of dedicated employees that make it happen. All of our employees have passion for our industry and are committed to producing safe and high-quality products that meet the needs of our customers. Now, I will turn the call back over to the operator for any calls from the analyst community.
Operator: Thank you. [Operator Instructions] There are no questions from the analyst community at this time. I would now like to turn the floor back over to Joseph Dowling for closing comments.
 :
 :
Joseph Dowling: Thank you. I would like to thank everyone for being a supporter of CV Sciences and our great products, and we look forward to speaking again soon. Have a great day. Thank you, again.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.